Operator: Greetings and welcome to the TG Therapeutics Fourth Quarter and Year End 2021 Financial Results and Business Update Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Jenna Bosco, Senior Vice President of Corporate Communications. Thank you. Please go ahead.
Jenna Bosco: Thank you. Welcome everyone and thanks for joining us this morning. I am Jenna Bosco and with me today to discuss the fourth quarter and year end 2021 financial results and provide a business update are Michael Weiss, our Chairman and Chief Executive Officer; Adam Waldman, our Chief Commercialization Officer; and Sean Power, our Chief Financial Officer. Following our Safe Harbor statement, Mike will provide an overview of our recent corporate developments, as well as an update on our current pivotal programs. Adam will then provide an update on our commercialization efforts, and Sean will provide an overview of our financial results before turning the call over to the conference operator to begin the Q&A session. Before we begin, I'd like to remind everyone that we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include statements about our anticipated future operations and financial performance, including sales performance, projected regulatory milestones, clinical development plans and expectations for our marketed and pipeline products. TG cautions that these forward-looking statements are subject to risks that may cause our actual results to differ materially from those indicated. Factors that may affect TG Therapeutics' operations include various risk factors that can be found in our SEC filings. In addition, any forward-looking statements made on this call represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. We specifically disclaim any obligation to update or revise any forward-looking statements. This conference call is being recorded for audio rebroadcast on TG's website at www.tgtherapeutics.com, where it will be available for the next 30 days. Now, I'd like to turn the call over to Mike Weiss, our CEO.
Michael Weiss: Thanks, Jenna, and thanks to everyone for joining us this morning. Well, as everyone is aware, TG has been throwing a few curve balls over the last few months. The good news, though, for those of you who are baseball fans, I actually think these are hanging curve balls that we can hit out of the park. And if we are able to do that, I genuinely believe that we'll be in a much stronger position because of it. I'll provide more color momentarily, but let's start by reviewing some of the developments, good and bad, that occurred over the last 12 months or so. Most recently, in Ag terms, we presented additional analysis of the data from the ULTIMATE I and II Phase III trials of ublituximab and relapsing forms of MS, which we believe continue to highlight and support the potential utility of ublituximab as a treatment option for patients with RMS. We strengthened our balance sheet by extending our term loan facility and ended 2021 with more than $350 million in cash. Towards the end of the year, we had a strong presence at the 2021 ASH Conference with three oral presentations and three poster presentations, with two of the oral presentations being chosen for highlights of ASH. Just before ASH, we announced that the FDA was planning to review the CLL, BLA/sNDA and ODAC meeting to occur in the March-April timeframe. Related to the issues to be covered at ODAC just a few weeks ago, FDA placed studies investigating U2 and it's components in CLL and NHL on a partial clinical hold. Also in the fourth quarter of 2021, we announced our biologics license application or BLA for ublituximab to target -- to treat patients with relapsing forms of multiple sclerosis was accepted by the FDA, and was granted a PDUFA goal date of September 28, 2022. We also continue to advance our early stage pipeline and presented data from TG-1701, our BTK inhibitor, several times throughout the year. We completed an enrollment of approximately 165 CLL patients into the ultra V phase II trial and launched the phase III portion of that study. We published results from some of our key trials in major publications, including an integrated safety analysis of UKONIQ in blood advances. UNITY-NHL Phase IIb trial of umbralicib [ph] monotherapy in patients with relapsed or refractory non-Hodgkins lymphoma in the Journal of Clinical Oncology, and the genuine trial evaluating ublituximab plus ibrutinib in patients with relapsed or refractory high-risk CLL in Lancet Hematology. And of course, in quarter one of 2021, a little over a year ago today, we received FDA approval of UKONIQ to treat patients with relapsed refractory marginal zone lymphoma and follicular lymphoma, marking our very first FDA approval. With that, let me review our late-stage development programs, following which I'll turn the call over to our Chief Commercialization Officer, Adam Waldman, to discuss some of the commercialization highlights. So let's begin with a discussion of the ultimate I and II Phase III trials which evaluated ublituximab monotherapy compared to teriflunomide [ph] in relapsing forms of MS. As noted in the past, both studies met their primary endpoint with ublituximab treatment demonstrating a statistically significant reduction in annualized relapse rate, referred to as ARR, with ublituximab treatment resulting in historically low levels of annualized relapse rate. In addition to the primary endpoint, we've had the opportunity over the past year to present several different sub-analysis of this data, all of which have strengthened our confidence in the utility of ublituximab to provide a meaningful treatment option to patients with RMS, if approved. On the regulatory front, we were extremely pleased to announce the FDA accepted our BLA for ublituximab to treat patients with RMS and granted a PDUFA goal date as I mentioned earlier of September 28, 2022. Adam will discuss our launch prep activities, but let me highlight again that we have built an all-star team of MS talent from around the industry. These folks have fantastic relationships in the MS community which have enabled us to gain invaluable insights. After spending several days last week at ECTRIMS [ph] in back to back to back meetings, I'm more confident than ever in the potential of ublituximab in RMS. With the CD-20 [ph] class already accounting for the largest portion of new starts and switches, which is sometimes referred to as the dynamic market, we see ublituximab as having the potential to play an important role in the treatment of relapsing forms of MS. All right, now, let's talk about our CLL BLA/sNDA and the upcoming ODAC. So I just want to remind everyone, first and foremost, that the UNITY CLL study, which was -- which is the primary study supporting the BLA/sNDA was conducted under special protocol assessment and met it's primary endpoint of progression-free survival, and all key secondary endpoints. We submitted a BLA/sNDA for the U2 combination in the treatment of CLL and received a PDUFA goal date of March 25, 2022. In September of 2021, we received a request from the FDA to conduct an analysis of overall survival. While OS is stated as a secondary endpoint, there was no plan to analyze it prior to the end of the trial, which has not yet occurred. Importantly, the UNITY CLL study was not powered for overall survival which would have required dramatically more overall survival events. And in addition, a significant number of patients on the control arm crossed over to the U2 arm collectively making the OS results hard to interpret. Furthermore, since we were not planning an OS analysis until the end of the trial, not all the data was collected at the time FDA requested the overall survival analysis, leaving about 15% of the patients with outdated or missing survival status. Despite these material shortcomings, we conducted the analysis and sent it to the FDA as requested. As has been reported previously, that analysis showed an imbalance in favor of the control arm, the hazard ratio was 1.23, but when excluding COVID, it was 1.0; a hazard ratio above 1.0 implies potential harm of a therapy, and below 1.0 a potential benefit. Given the shortcomings of the OS analysis, and similar results from other pivotal Phase III studies in CLL, we didn't see this OS imbalance as concerning. Some of those examples included the original overall survival analysis from CLL-14 which was the approval study for venetoclax plus obinutuzumab. Similar to our trial, the control arm was obinutuzumab + chlorambucil, and at the time of approval, the hazard ratio was 1.24. No adjustment there because of course, that study was conducted before COVID, so that would not have been a confounding factor. We also took a look at the overall survival results from the ILLUMINATE study, which was used for approval of ibrutinib plus obinutuzumab. Again, similarly, the control arm was obinutuzumab clamber cell [ph], same as ours. The overall survival outcome in this study was even more peculiar. Here, the hazard ratio was 0.921 to below 1.0 at the time of approval, but in long-term follow-up turned negative against ibrutinib with a hazard ratio of 1.083. Both of these instances highlight the challenges of using underpowered overall survival analysis. So, I think everyone could imagine our surprise when in November of 2021 the FDA notified us that they plan to host a meeting of the Oncologic Drugs Advisory Committee, referred to as ODAC. And ODAC being much easier to say, of course, in connection with it's review of the BLA for ublituximab and the sNDA [indiscernible] stemming from the OS imbalance. It is also evident what the regulatory action see for other PI3K inhibitors, that there is a concern with the overall class that is influencing the way the FDA is viewing this data. We spent the next two months trying to close the information gap. We were pleased to report about a month ago that we're able to reduce the missing survival information from 15% down to 5%. And we were further pleased to report at a high level that the capture of the additional survival data, the overall survival analysis, both in the ITT and the COVID-censored populations, the overall survival hazard ratio has improved from what we had seen in the original submission to the FDA. We provided that update to the FDA late last month. We also spent considerable amount of time doing a deep dive into the survival data, literally reviewing patient-by-patient to try to understand causality. For now, I will be brief and in summary will say, from TG standpoint, and that of our independent external medical and statistical advisors, that the totality of the UNITY-CLL data suggests that the overall safety profile is generally in line with currently available tumors [ph] for CLL, especially when focusing on treatment-related deaths. Since we received notification of the ODAC, the team has been hard at work preparing for the upcoming meeting and we're looking forward to the opportunity to showcase under critical review that UKONIQ is a unique PI3K inhibitor with a differentiated toxicity and tolerability profile. And with the potential to fill an unmet need in the treatment of CLL. With that, I'll turn the call over to Adam Waldman, our Chief Commercialization Officer, to share a bit about our current commercialization efforts and preparations for potential launches later this year. Adam?
Adam Waldman: Yes. Thanks, Mike and good morning, everyone. I'm excited to provide an update on our commercial performance and execution in Q4, as well as our plans for expansion and potential commercialization of U2 and CLL, and ublituximab and relapsing forms of MS in 2022. First for UKONIQ; we just passed the one year anniversary of the approval and we continue to see broaden usage and positive feedback amongst prescribers in the U.S. market. Our teams did an excellent job working through the challenges in the quarter to increase awareness and educate healthcare providers on UKONIQ's unique profile. It is clear that you UKONIQ gives healthcare providers a novel treatment option for patients who have seen multiple previous therapies for marginal zone [ph] lymphoma and follicular lymphoma, and with the recent withdrawals of [indiscernible] from the lymphoma market, UKONIQ is now the only oral PI3K approved for these patients. Despite the continued COVID headwinds in the quarter, we continue to see progress. Net sales grew 14% with $2.3 million in net revenue in Q4, bringing the full year 2021 net revenue to $6.5 million. Interestingly, overall demand for UKONIQ increased 25% quarter-over-quarter. However, we also continue to see UKONIQ demand and revenue impacted by patient affordability issues. As a result, we provided free drugs to about 37% of UKONIQ-treated patients through our TG's Patient Support Program in Q4, and throughout 2021. What remains encouraging is that UKONIQ awareness and familiarity among targeted treaters remains high and prescribers continue to state -- sight strong economic performance across key product attributes. Additionally, the UKONIQ prescriber base continues to increase and we are observing new patient starts in both, new and existing accounts. We have also seen greater uptick in the community setting which accounted for an estimated 65% of new patients starts in Q4. We are very encouraged by the feedback from healthcare providers and third-party research regarding UKONIQ use which continues to remain very positive. Physicians that have used UKONIQ reported an appreciation for it's differentiation, and they see the benefit that it brings to patients. We also know that continued positive experience across a broadened prescriber base in the community will help lay the foundation for a successful CLL launch in the future. Our hematology teams are continuing our planning efforts to focus on the U2 CLL launch objectives. The U2 CLL launch will be an important milestone for our hematology franchise; we remain confident that we can leverage the experience from the UKONIQ launch, along with the enhancement of internal commercial capabilities to deliver a successful CLL launch. Our commercial execution efforts continue to improve, which has led us to optimize account segmentation, prioritization and solidified relationships in the hematology community. Now turning to MS; we just -- as Mike mentioned, we just returned from the ACTRIMS meetings last week and the feedback from thought leaders and the overall energy around ublituximab data was incredibly exciting. Over the fourth quarter and early part of this year, we continue to make great strides in launch preparation for MS. We're actively building and expanding our MS-focused field-based roles with remarkable talent with extensive MS experience and deep relationships with BMS community. These team members are focused on continued engagement with the MS stakeholders, including prescribing health care providers, their staff, payers and advocacy groups to gather insights, to advisory boards, one-on-one personalized meetings and at conferences, including the recently held conference last week. During these engagements, we consistently hear positive feedback in ublituximab's clinical profile. Regarding the efficacy, the annualized relapse rate of less than 0.1 differentiates ubltuximab amongst others in the class. On the safety front, the incidence of infections and serious infusion-related reactions seen in the clinical trials appears to be a differentiating based on physician feedback. Finally, in terms of convenience, the shorter infusion is seen as a competitive advantage among existing anti-CD20s. Health care providers specifically advanced practice providers, reference the shorter infusion time as a benefit to their patient infusion experience, highlighting that almost 80% of people living with MS struggle with spasticity or tightness or stiffness of the muscles and bladder dysfunction, urinary urgency, meaning sitting in the chair for extended period of time is obviously not ideal. Our research also indicates that the majority of top MS centers of excellence experience capacity constraints with infusions, making a shorter infusion potentially attractive. Over the coming months, we will continue our prelaunch activities and preparations to launch ublituximab, which will lever a customer-focused commercialization strategy that we believe will enable ublituximab become a meaningful treatment option for relapsing MS patients. With that, I'll hand it over to Sean Power, our CFO. Thank you.
Sean Power: Thank you, Adam, and thanks again, everyone, for joining us. Earlier this morning, we reported our detailed financial results, which can be viewed on the Investors & Media section of our website. I'll begin with our cash position. As Mike highlighted, we were happy to have strengthened our balance sheet in the fourth quarter of '21 with the upsizing of our term loan facility, allowing us to end the year with approximately $350 million in cash, cash equivalents and investment securities. And as Adam just discussed a few moments ago, we reported $2.3 million of UKONIQ net product revenue in the fourth quarter, resulting in cumulative net product revenue of $6.5 million for 2021, the first 10 months of our product launch. Our net loss for the fourth quarter of 2021, excluding noncash items, was approximately $79 million, in line with our expectations, which was an increase of $7 million quarter-over-quarter from Q3 of '21, where we saw a net loss, excluding noncash items of approximately $72 million. As compared to the third quarter of 2021, the increase was primarily driven by an uptick in research and development costs, which pertain primarily to CMC expenses incurred in the fourth quarter of 2021. Our GAAP net loss for the fourth quarter of 2021, inclusive of noncash items with $93.3 million or $0.70 per share compared to a net loss of $88.2 million or $0.71 per share during the comparable quarter in 2020. Our net loss for the full year ended December 31, 2021, excluding noncash items, was approximately $287 million compared to $199 million for the 2020 year-end. The year-over-year increase in net loss was primarily driven by an increase in SG&A expenses associated with the launch of UKONIQ and planning for the potential future launches of U2 and CLL and ublituximab in RMS. Additionally, we saw an increase in our R&D expenses year-over-year, which was primarily attributable again to CMC expenses in preparation for commercialization and for our Phase 3 clinical trials. The GAAP net loss for the year ended December 31, 2021, inclusive of noncash items, was $348.1 million or $2.63 per share compared to a net loss of $279.4 million or $2.42 per share for the year ended December 31, 2020. In terms of what we expect moving forward, as we've previously disclosed, following our company streamlining efforts, we project our burn in the first two quarters of 2022 to be between 55 and $65 million, down rather sharply from where it's been trending. With that, we believe our current cash will take us well out into 2023. With that, I will now turn the call back over to the conference operator to begin the Q&A.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Chris Howerton of Jefferies. Please, go ahead.
Chris Howerton: That's great. Thank you so much for taking the questions and obviously look forward to all the more positive curveballs and for you to hit those hanging curveballs, Mike. So, appreciate it.
Michael Weiss: Thanks.
Chris Howerton: I guess for me, two questions, would be one is I know, Adam, you started to describe some of the efforts with respect to MS commercialization. I guess I'm curious if you can provide a little more thought in terms of how you're thinking about the size of that salesforce? And maybe if you could give us some initial thoughts around spending towards either direct-to-patient or DTC type of spending in this setting. The second question would be if you could give us some indication as to what you think the confirmatory trials might look like for follicular and marginal zone? And if I have any follow-ups, I'd appreciate it. Thanks.
Michael Weiss: Great. Adam, you want to go ahead first and I'll jump in on the confirmation trial.
Adam Waldman: Sure. So Chris, thanks for the question. On the first part of the question, which was the salesforce size, we've benchmarked other companies we know generally what the size of their forces are. We have not finalized our commercial engagement model quite yet. But I think the range that I've been saying before is anywhere between 80 and 100 people. This market is incredibly concentrated. A vast majority of the patients are being seen at 550 centers across the U.S. and Centers of Excellence. You do not need a huge team to be able to do this and also being the third CD20 to market, we think we can come in an existing and growing market and do quite well. The second question was around patient or direct-to-consumer. We do not anticipate -- we think Novartis and Roche are doing a great job on commercials expanding the CD20 market and we believe we will not have to do commercials, but certainly, some direct-to-patient through digital channels and social channels will be part of our plan going forward.
Chris Howerton: Excellent. Thanks, Adam.
Michael Weiss: And then Chris, as far as the confirmation trial for marginal follicular. We've been in discussions with the FDA for a decent amount of time. We've been back and forth with them a number of times. I think we're getting close to a trial design, but not very different. There's been studies that are out there that are being conducted or were being conducted, compared to either chemoimmunotherapy or that's pretty much been the model to-date. So, not really much of an update there, unfortunately. But we're getting -- to my knowledge, we to talked to the team recently, we're getting closer. I think we're hopefully going to get down to the nitty-gritties and get that up and running as soon as we can.
Chris Howerton: Okay, all right. Well, that's very good. I will hop back in the queue to let my colleagues ask questions, and I really appreciate it. Thank you.
Michael Weiss: Thanks, Chris.
Operator: Thank you. Our next question is coming from Eric Joseph of JPMorgan. Please, go ahead.
Unidentified Analyst: Oh, hi. This is Sean, in for Eric. Thanks for taking our question and we first want to dig a little bit into the access data that you shared recently. So, more specifically on the neutralizing antibodies and anti-drug antibodies from the alternate trial. Basically, can you help us to put these data into the context of other existing CD20s in the market and then as a follow-up, how or if the differences we see here could have any meaning for longer term efficacy implications? And just want to pick out your thoughts on that. Thanks.
Michael Weiss: Sure. Yes. That data is quite similar to what you'd expect to see with the Rituxan [ph], which obviously has years and years of experience in the marketplace. The data is pretty clear that none of it had any impact on safety or efficacy and we wouldn't anticipate it to have any impact going forward.
Unidentified Analyst: All right. That's helpful. Thanks.
Michael Weiss: Thank you.
Operator: Thank you. Our next question is coming from Alethia Young of Cantor. Please, go ahead.
Alethia Young: Hey, guys. I like the name change. Couple questions for me. It's my alter-ego. Can you talk a little bit about -- I guess it's a little trickier, but with the panel and upcoming discussions around whatever the FDA is kind of looking for [indiscernible] what kind of evidence do you thinks provide -- can you give us any kind of more color on kind of numerical trends that you're seeing as it stands right now? And then I guess, just a question that I kind of get and just wanted to have you upon on it for the record, is there any concern of flowback read through to ongoing MS, even though obviously, different regimen? Thank you.
Michael Weiss: Yes. Thanks for Alethia. I'll start with the second half. No, we don't anticipate any flowback for MS. Most of the concerns that have been addressed -- not all, have been focused on the PI3K. That seems to be an area that the FDA has expressed significant concerns across the entire class. As you know, we've maintained that we believe that our PI3K is different and the safety and tolerability profile is different, in our opinion, and we think the data supports that. So yes, I think we're pulling out every piece of data that we'll be sharing with ODAC. Like I said in the prepared remarks, we've gone patient-by-patient to understand what happened to double, triple-check that the drug wasn't causing harm to patients. But when you're dealing with an underpowered OS [ph] analysis, there's going to be a lot of noise in the data. And obviously we had to deal with COVID, which CLL patients are generally immuno-compromised. They're high-risk to begin with. Anytime you're treating them, they're going to be at higher risk. So, we think that obviously in a world where COVID didn't exist, the data would be pretty non-meaningful and particularly, now that we have the missing data that we didn't have when we did the first look at the OS, you do a COVID adjustment and I can assure you that there is no survival issue there. Again, unfortunately for us, the classes come under attack. We've been lumped into that class, but I do think that given the opportunity to spend time with the ODAC panel and make them aware of the fundamental differences of this molecule versus the others and then share with them the safety data and as much detail as we have time to provide plus the comparisons -- when you look at the comparisons to the approved agents, I could assure you that the U2 regimen in terms of SAEs, Grade 3s and treatment-related [ph] depths does not stand out, might be slightly higher on the Grade 3s and SAEs. But middle of the pack and in treatment-related depths, it's not like there's some obvious issue and like I said, we've been patient-by-patient. The good news is we've shared all that data now with the FDA and my assessment of the situation is they're taking it very seriously. To what I can tell, they're working very hard to find the truth and that's all we could ask for. So, our fingers are crossed. We've sent them a lot of information, a lot of new data over the last two, three, four weeks. They've been back to us with multiple rounds of follow-up questions. So they're working hard on it. Again, my assessment is that they're looking for the truth. We feel comfortable that there's no major concern here and hopefully, the FDA will see it that way and hopefully we'll have that opportunity to share that with ODAC as well.
Alethia Young: Awesome. Thank you very much.
Michael Weiss: Thank you.
Operator: Thank you. Our next question is coming from Mayank Mamtani of B. Riley. Please, go ahead.
Sahil Kazmi: Hi, good morning team. This is Sahil, on for Mayank. Congratulations on all the progress. Maybe just a brief follow-up from the previous question. Could you clarify how much -- if any -- of the data package for MS is going to be considered at the U2 ODAC meeting? With that obviously being a component of the therapy? And then also, is there an anticipated for the MS opportunity prior to the September PDUFA date?
Michael Weiss: So the answer, the first question is zero. And as of now, the FDA has said on the MS side [ph] that they're not planning to host an ODAC. Again, as we've learned from the CLSI that as they review the data, they may come to a different conclusion. At the outset, they noted that they were not planning to host an ODAC, but an advisory panel from the neurology division.
Sahil Kazmi: Okay, great. Thank you. And then maybe one more from us. Could you talk about your latest thoughts on the 2025 revenue guide of $1 billion and how that mix might now be viewed between oncology and MS?
Michael Weiss: Yes. I think until we know where we are with the initial application, I don't think we can update that guidance. So for the moment, we will just leave that as an open question until we see the results of the ODAC and more importantly beyond that, the decision of the FDA.
Sahil Kazmi: Yes, absolutely. That makes sense. All right, thanks for taking our questions. Appreciate it.
Michael Weiss: You got it.
Operator: Thank you. Our next question is coming from Ed White of HC Wainwright. Please, go ahead.
Unidentified Analyst: Hi. This is Steve, on for Ed. Thanks for taking our question. Can you provide your thoughts on your year European strategy and timing for MS?
Michael Weiss: Yes. So we are currently fully evaluating that opportunity. We were in the process. We've got a small team that's already set up -- sort of a SWAT team in Europe that's modeling out how we plan to approach the European theater, as one might say. So, we don't have any details beyond that, but we are mapping it out and I think the timing would be probably six months or so beyond the approval for MS in the U.S.
Unidentified Analyst: Alright, thank you.
Operator: Thank you. Our next question is coming from Matt Kaplan of Ladenburg Thalmann. Please, go ahead.
Matt Kaplan: Hi, good morning.
Michael Weiss: Good morning, Matt.
Matt Kaplan: Just wanted to back up to the OS analysis a little bit. Thanks for all of the detail you provided there. Given your interaction with the FDA since you submitted, I guess the data in late January, what do you think, how is the FDA going to handle this? Will this be viewed as a major amendment, push out the PDUFA date? Or they'll be able to complete their analysis in a faster time line?
Michael Weiss: We don't know. Given the state of timeframe for the ODAC of March, April timeframe, we have always assumed -- again, with no further information from the FDA. This is just us sitting around, spitballing that the PDUFA date would not likely be met and we said that publicly. Having said that, the FDA does have the right at any time to call any of the data submissions that we provided as major amendments, which would give them the opportunity to push the PDUFA date back, I think three months. So, we don't know exactly what the FDA is thinking on that one. They haven't spoken just about it at all, but certainly, that is a possibility that they can take the updated data that we've provided to them, declared as a major amendment and push the PDUFA date back. That would give them plenty of time to host the ODAC and not have to miss their PDUFA date. So, we don't, we have no further information than what we've shared and what I've said here today. But again, those are all logical possibilities that could occur.
Matt Kaplan: Okay, helpful. And I guess now that we're in March, when do you expect the FDA to give you an indication on the timing for the potential ODAC meeting?
Michael Weiss: The last I heard is that the FDA will post it publicly for all to see and at that point, everyone will know the date of the ODAC.
Matt Kaplan: Okay. And then, just lastly on the new OS data that you've submitted. You mentioned that there was a kind of a positive improvement once you're able to decrease the number of patients that had missing data to 5% or less. Can you give us a little bit more detail in terms of the improvement in OS that you observed when you did that?
Michael Weiss: So you would like the actual numbers, Matt?
Matt Kaplan: Yes.
Michael Weiss: I would love to share the numbers, but we made a decision that we did not want to do that until the FDA had full opportunity to review all the information that we provided them. But what I can say, which I've said qualitatively is that both the 1.23, which was the ITT went down and the 1.04 for the COVID went down. So both those numbers are lower than they were. Again, we're seeking the truth. At the time we presented the first analysis to them, we were missing 50% of the information. So, what was brought to them was what we knew at the time, but not everything. So, we're able to close that information gap down to 5%. So we're still missing 5%. So we got closer to the truth of what the OS analysis was at the time. Now again, which is great. In actuality, had we had all the information at the time we submitted it, the numbers we have presented to the FDA would have been lower. That's still not -- because of the fact that the OS is underpowered, understanding the truth of whether U2 provides a benefit in over survival or does not is a far way off no matter what. Because when you're looking at underpowered analysis, you don't have essentially the answers. You don't have enough information to get above the noise. And as I mentioned in my prepared remarks, you see these things will swing back and forth because every time you pick another new cut-off date, there's going to be a lot of randomness particularly if again, you're not powered for it. So, I think we've mentioned this in maybe one of the previous conference calls, but we really would need minimum of 600 events and that would be a pretty nice improvement in overall survival. And it could be as high as I think 2,000 events for what is most likely the improvement survival given all of the current new standard of cares that are out there. You're not expecting the same level of improvement in survival that you would see in TFS. So we're looking at about 100 events, give or take maybe 110, 120 to get even reasonable information would be 600 to 2,000 knowing the truth and particularly again, in light of the crossover, knowing what the truth is, of whether there's a true benefit or not, is extremely challenging to glean from this kind of information. So, again, that's why I think it's it is important that we've gone patient by patient. And again, to the FDA's credit, we do appreciate that they're taking great time and care to look at the information on a patient-by-patient basis to get a better sense of what's going on with U2 in these patients. So, a very long answer Matt, but I can't give you the number that you've asked for, but I can assure you that the numbers are lower than they were.
Matt Kaplan: Okay. The added detail is very helpful. Just shifting gears to MS. Previously, you've spoken about going to market with a competitive price strategy. Given your interaction and ongoing interaction with potential payers and they profile the drug, what are your current thoughts on that right now?
Michael Weiss: Yes, so again, we continue to evaluate and this will come down to the wire, Matt. We are constantly engaging with payers to try to refine that pricing model that will optimize the access for ubli in Ms. And that is more and more as we do more AdWords [ph] with the physicians, all they care about is will their patients have access to the drug? As long as they can write the script and have a high-level of confidence that they're going to get the drug, they're going to be on-board with ubli as in many cases, as their primary CD20. So, our job continues to be defined, the right pricing strategy that makes the most sense and I think there's probably some component that includes a lower price, some components includes some discount and there's a balance out there. But again, it's too early to tell even now, because we continue to go back and forth and discuss with the payers. But yes, it's important, we continue to believe it, we continue to feel confident that we can work with price to make a difference and make sure that ubli is accessible to as many patients as possible across the country.
Matt Kaplan: Okay. And last question. I guess given that the ultimate stays were wrapped up some time ago. Can you talk about any potential exposure you have given the current war in Ukraine and the review ongoing at FDA? Does that pose any problems?
Michael Weiss: Oh, the war in Ukraine? Is that what you're asking about, Matt? I'm sorry.
Matt Kaplan: Yes. Issues with [indiscernible].
Michael Weiss: Yes. I wouldn't think so. The studies obviously completed a while ago. All that data has been extracted, cleaned and brought to the U.S. So, I'm not concerned about that. In terms of potential FDA inspections, to my knowledge they've chosen sites that are not in the Ukraine to inspect at this moment. So, unless something changes and they decided they need to get to the Ukraine, which obviously would be a challenge in the current circumstances, I don't see that as any barrier to the FDA's review process from that standpoint. So, no, I am not I'm not seeing anything that's concerning from our standpoint with what's going on over there. Obviously, there's lots of things to be concerned about for the patients and everyone else there.
Matt Kaplan: Okay, great. Thank you.
Operator: Thank you. This brings us to the end of our question-and-answer session. I would like to turn the floor back over to Mr.Weiss for closing comments.
Michael Weiss: Great. I just want to thank everyone again for joining us. To wrap up, I'll just quickly review some of the upcoming goals and objectives for 2022. Obviously, preparing for the upcoming ODAC has been a big effort for the company as I mentioned the prepared remarks. And we're looking forward to hopefully obtaining a favorable outcome and ultimately obtaining approval for U2 to treat patients with CLL. We're looking forward to presenting additional analysis from the 1 and 2 trials across a number of different conferences for the remainder of this year. And hopefully, obtaining FDA approval by the target PDUFA date of September 28, 2022. Will continue preparing for the potential launches of U2 CLL and ublituximab and RMS. We'll continue to work on our early pipeline candidates and of course, during the course of the year, we'll have opportunities to write updated oncology data at major medical meetings. So, looking forward to a very pivotal year for us. Obviously, these two approvals being about most important for us and we'll continue to work toward those. So I just want to thank everyone again for joining us. Have a great day.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time and enjoy the rest of your day.